Operator: Good day, and welcome to the Fidus Fourth Quarter 2024 Earnings Conference Call. All participants will be in listen-only mode. Please note this event is being recorded. I would now like to turn the conference over to Jody Burfening. Please go ahead.
Jody Burfening: Thank you, Michael, and good morning, everyone. And thank you for joining us for Fidus Investment Corporation's fourth quarter 2024 earnings conference call. With me this morning are Ed Ross, Fidus Investment Corporation's Chairman and Chief Executive Officer, and Shelby Sherard, Chief Financial Officer. Fidus Investment Corporation issued a press release yesterday afternoon with the details of the company's quarterly financial results. A copy of the press release is available on the Investor Relations page of the company's website at fdus.com. I'd also like to call your attention to the customary safe harbor disclosure regarding forward-looking information included on today's call. The conference call today will contain forward-looking statements, including statements regarding the goals, strategies, beliefs, future potential, operating results, and cash flows of Fidus Investment Corporation. Although management believes these statements are reasonable, based on estimates, assumptions, and projections as of today, March 7, 2025, these statements are not guarantees of future performance. Time-sensitive information may no longer be accurate at the time of any telephonic or webcast replay. Actual results may differ materially as a result of risks, uncertainties, and other factors including, but not limited to, the factors set forth in the company's filings with the Securities and Exchange Commission. Fidus undertakes no obligation to update or revise any of these forward-looking statements. With that, I would now like to turn the call over to Ed. Good morning, Ed.
Ed Ross: Good morning, Jody. Good morning, everyone. Welcome to our fourth quarter 2024 earnings conference call. On today's call, I'll start with a review of our fourth quarter performance in our portfolio at quarter end. And then share with you our outlook for 2025. Shelby will cover the fourth quarter financial results and our liquidity position. After we have completed our prepared remarks, we'll be happy to take your questions. As expected, the fourth quarter was active from both an investments and repayments and realizations perspective. Although deal flow remained at a reasonable but not robust level during the quarter, as it did all year, our sponsor relationships, investment experience, and industry knowledge in the fragmented lower middle market differentiate Fidus. As a result, we continue to find opportunities to selectively invest in high-quality companies with durable and defensible business models that generate recurring revenue and cash flow and have strong prospects for growth. We grew our portfolio by 14% to $1.1 billion on a fair value basis as of December 31, 2024, versus year-end 2023, adhering to our underwriting discipline and our strategy of co-investing in the equity of a large majority of our portfolio companies gives us the potential for enhanced returns. From our perspective, our strategy is clearly working. Overall, our portfolio is healthy. Our debt portfolio continues to perform well with sound credit quality and our equity portfolio, which is quite strong and promising, continues to deliver net realized gains. Adjusted net investment income for the quarter was $18.4 million compared to $18.8 million last year. As our portfolio has grown over the past year, debt investments under management have increased while yields have declined due in large part to a decline in SOFR. Including the higher average share count from ATM issuances earlier in the year, adjusted NII on a per-share basis was $0.54 per share compared to $0.65 per share for the same period last year. Net asset value was $655.7 million or $19.33 per share at quarter end. In the fourth quarter, dividends totaled $0.61 per share consisting of a base dividend of $0.43 per share and a supplemental dividend of $0.18 per share. For the first quarter of 2025, the Board of Directors declared a total dividend of $0.54 per share, which consists of a base dividend of $0.43 per share and a supplemental dividend of $0.11 per share equal to 100% of the surplus in adjusted NII over the base dividend from the prior quarter. Which will be payable on March 27, 2025, to stockholders of record as of March 20, 2025. Originations totaled $120.3 million for the fourth quarter, including $43.9 million and five new portfolio companies. The remaining $76.4 million was invested in existing portfolio companies primarily facilitating add-on acquisitions. Net investments totaled $115.5 million nearly all of which were in first lien security. We co-invested in the equity of the five new portfolio companies for a total of $3.8 million. Proceeds from repayments and realizations totaled $122.8 million for the fourth quarter including the exit of four portfolio companies, one of which had been evaluating strategic alternatives. Subsequent to the quarter end, we invested $50.7 million in first lien debt and common equity in three new portfolio companies. In addition, two of our portfolio companies completed strategic reviews and were sold. In connection with the sale transactions, we realized a $3.2 million gain on the distribution of our preferred equity investment in HealthFuse and an $8.2 million gain on the distribution of our equity in Medture Holdings LLC. With originations equivalent to repayments this quarter, our portfolio of debt and equity investments on a fair value basis as of December 31, 2024, was $1.1 billion unchanged from September 30, 2024, and equal to 101.4% of cost. Our debt portfolio totaled $944.5 million, 76% of which consisted of first lien investments and our equity portfolio was $146 million or 13.4% of the total portfolio at quarter end. We ended the quarter with 87 active portfolio companies, a net addition of two from the third quarter. Our portfolio overall has remained sound from a credit quality perspective throughout the year even as we have grown the debt portfolio by 13% on a fair value basis. Non-accruals on a fair value basis for the fourth quarter stayed under 1% of the portfolio and were 4.1% of the total portfolio on a cost basis. With an active portfolio, we do of course always have some companies that are experiencing or exceeding expectations and others that are underperforming. This quarter, for instance, we added Quantum IR Technologies to our non-accruals and wrote down its fair value to zero. This reflects the risk associated with a series of company-specific and very negative events. Particularly given our position in the cap structure as holders of a last-out first lien loan. Offsetting the impact of this write-down was some appreciation in the fair value of our equity portfolio. By maintaining a well-diversified portfolio and structuring it to hold both debt and equity investments, we are able to sustain its overall health over the long term. This illustrates the benefits of both our strategy and our long-term approach to managing the business. In summary, in 2024, we continued a five-year period of extremely high activity at Fidus, from both a new investment and realization perspective. And building a portfolio with strong resiliency characteristics and with the opportunity for enhanced returns from capital gains. Looking back over the past five years, a 7.5% compound annual growth rate in the investment portfolio from $766.9 million to $1.1 billion. First lien debt investments represent 76% of our debt portfolio on a fair value basis versus 16.8% in 2019. Net asset value per share has grown from $16.85 per share at year-end 2019 to $19.33 per share as of December 31, 2024. Over the past five years, we have generated $208 million in net realized capital gains from equity investments. Or set differently, $155 million in net realized gains across the total portfolio. Taking into account any losses on debt and equity investments. For 2025, we intend to continue to find ways to build our portfolio in a methodical and disciplined way. Independent of the strength of the overall M&A market. We know the year will bring us both opportunities and inevitable headwinds. But we also know that our investment strategy is working. Sustaining a healthy portfolio that combines a debt portfolio that generates high levels of current and recurring income with an equity portfolio that can enhance returns. We remain committed to this strategy, shareholders, and to our long-term goals of generating attractive risk-adjusted returns for our and growing our net asset value. Over time. Now I'll turn the call over to Shelby to provide some details on our financial and operating results. Shelby?
Shelby Sherard: Thank you, Ed, and good morning, everyone. I'll review our fourth quarter results in more detail and close with comments on our liquidity position. Please note, I will be providing comparative commentary versus the prior quarter Q3 2024. Total investment income was $37.5 million for the three months ended December 31, a $0.9 million decrease from Q3, primarily driven by a $1.3 million decrease in dividend income from equity investments, offset by a $0.3 million increase in fee income given an increase in investment activity in Q4. Total expenses including income tax provision were $18.8 million for the fourth quarter. A $1.8 million higher than Q3, driven primarily by a $1.2 million increase in income tax provision related to the annual excise tax accrual in Q4. A $0.8 million negative variance in capital gains fee accrual, a $0.3 million increase in interest expense due to higher average debt balances outstanding on the line of credit, and a $0.2 million increase in G&A expenses, all offset by a $0.6 million decrease in the income incentive fee. Net investment income or NII for the three months ended December 31 was $0.55 per share versus $0.64 per share in Q3. Adjusted NII, which excludes any capital gains and tenant fee accruals or reversals, attributable to realized and unrealized gains and losses on investments was $0.54 per share in Q4 versus $0.61 in Q3. For the three months ended December 31, we recognized approximately $0.5 million of net realized losses related to a realized loss on the exit of our residual equity investments in BurgerFi International. We ended the quarter with $483.7 million of debt outstanding, comprised of $175 million of SBA debentures, $250 million of unsecured notes, $45 million outstanding on the line of credit, and $13.7 million of secured borrowings. Our net debt to equity ratio as of December 31 was 0.7 times. Our statutory leverage excluding exempt SBA debentures was 0.5 times. The weighted average interest rate on our outstanding debt was 4.6% as of December 31. Turning now to portfolio statistics. As of December 31, our total investment portfolio had a fair value of $1.1 billion. Our average portfolio company investment on a cost basis was $12.4 million, which excludes investments in four portfolio companies that sold their operations during the process of winding down. We have equity investments in approximately 85.7% of our portfolio companies, with an average fully diluted equity ownership of 3.5%. The weighted average effective yield on debt investments was 13.3% as of December 31, versus 13.8% at the end of Q3. The weighted average yield is computed using effective interest rates for debt investments at cost, including the accretion of original issue discount and loan origination fees, but excluding investments on non-accrual, if any. Now I'd like to briefly discuss our available liquidity. As of December 31, our liquidity and capital resources included cash of $57.2 million, $95 million of availability on our line of credit, and $23.5 million of available SBA debentures. Resulting in total liquidity of approximately $175.7 million. Taking into account our subsequent events, we have approximately $129.1 million of liquidity. Now I'll turn the call back to Ed for concluding comments.
Ed Ross: Thanks, Shelby. As always, I'd like to thank our team, the board of directors at Fidus for their dedication and hard work. And our shareholders for their continued support. I will now turn the call over to Michael for Q&A. Michael?
Operator: We will now begin the question and answer session. If at any time your question has been addressed and you would like to withdraw your question, The first question comes from Mickey Schleien with Ladenburg. Please go ahead.
Mickey Schleien: Yes. Good morning, Ed and Shelby. Ed, LSEG reported that middle market loan spreads finally stabilized in the fourth quarter and you know, I'm assuming the same is true of the lower middle market. How do you see spreads evolving this year? And do you think there's any scope for them to actually widen as perceived risks increase?
Ed Ross: Great question, Mickey. You know, my expectation is for yields to stay pretty stable. I think they've been stable over the last, I'd call it, three to six months. I don't see them getting a lot more aggressive. You know, clearly, I think there will be some opportunities to invest at maybe higher rates where there's perceived risk and maybe those risks are more perceived than actual, those types of things. So there may be an opportunity there, but I think our kind of working thoughts are that, you know, yields are probably here for a little while just based on a fair bit of capital out there, and there is an interest in trying to keep portfolios the same size or grow them. So that's probably the thought process that we have.
Mickey Schleien: Thanks for that. And I wanted to ask about Quantum. I realized you probably cannot say a whole lot, but I see that they're being sued by a bank. Is that bank does that bank hold the first out piece and do you have a call on the first out piece that you might exercise to take control of the situation and maybe recoup some value?
Ed Ross: It's a great question, Mickey. I think, you know, what I would say, you know, and just is, you know, the company is a provider of software-based thermal infrared data collection and predictive analytics to industrial process companies. And experienced a series of very specific, very negative events that have impacted, you know, obviously, our valuation. I think we do have a call. We generally do. I can't guarantee that. We are very active in this situation. What I would say is, we have all hands on deck. In an effort to improve, you know, the outlook of our investment. And, you know, and lastly, what I'd say is the current risk profile of our investments is reflected in the value of our debt and equity investments. We are but we're very active here. And I think I'll just leave it at that, Mickey.
Mickey Schleien: Okay. A couple of more sort of housekeeping questions. I'm a little confused about the HealthFuse and MedShurant distributions. Are those gonna be booked as income or as realized gains? And have those distributions already been accrued into the value of those investments?
Ed Ross: Sure. It's a great question. Shelby, you wanna take that one?
Shelby Sherard: Sure. But those are gonna be booked as return of capital and realized gains, and the Q4 value anticipated those repayments here in Q1, so it should have been reflected in the fair value. The only distinction there why we're calling it a distribution is we didn't actually sell our equity investment. It was the underlying operations of the business that was sold. And so while we still legally own the security and the company winds down, it'll continue to stay on our schedule of investments. But effectively, the company was sold, and we're recognizing a realized gain here in Q1.
Mickey Schleien: Okay. Thanks for that, Shelby. And lastly, Ed, your balance sheet is not very highly levered compared to most BDCs. Can you update us on where your target balance sheet leverage is in the current market environment?
Ed Ross: Sure. Great question. What we've said for quite a while, Mickey, is we're probably one to one leverage as a target leverage. We obviously are comfortable where we are as well. Feel like we can perform at these levels, but as we move forward, you know, I think debt will probably be the majority of our growth capital, but at the same time, you know, we do have an ATM program that is in place, and I think we'll probably use that from time to time when we see that we're growing. Last quarter, we didn't see a lot of growth. And we did not use the ATM program. So hopefully, that gives you a sense of how we'll do things as we move forward. But I think, you know, it's a balanced approach is the way we like to talk about it and think about it. But, you know, clearly, we have some room to add debt to the balance sheet for growth purposes and that will be part of the equation for sure.
Mickey Schleien: I understand. That's it for me this morning. Thanks for taking my questions.
Ed Ross: Absolutely. Good talking to you, Mickey.
Operator: The next question comes from Sean Paul Adams with Raymond James. Please go ahead.
Sean Paul Adams: Hey, guys. Good morning.
Ed Ross: Good morning. You guys Good morning. Hey.
Sean Paul Adams: You guys talked a little bit about last quarter about pockets of softness when you regards to, like, consumer discretionary purchases and you know, how that would relate to manufacturing and industrial companies and if you fast forward a little bit into the quarter, you know, we're you know, now at a point where we're looking at, you know, potential impacts for tariffs and import goods. What are your general thoughts when you're looking over, you know, the specific exposures within your portfolio? Over the next couple of quarters.
Ed Ross: Great question. Obviously, there's a lot there. I think, you know, from a pockets of softness, just going back to last quarter and fourth quarter, clearly, you know, broadly speaking, there are areas in the consumer market that are softer, right? The manufacturing industrial market has been softer. It's I think we talked about last quarter. But overall, it was a solid economic quarter. It was a solid quarter for our portfolio companies. I think we had thirty-eight of our with regard to our debt twenty-four had declines. Overall, we had kind of a 2% growth, and that's, you know, LTM quarter over quarter. So it's a healthy level of growth. So the portfolio is performing quite well from an operating and financial perspective. Obviously, the last month or so has created some uncertainties that, you know, a lot of folks weren't expecting. But, you know, and then you add tariffs and you add any if you have exposure to government contracts, you know, what does that mean? And you know, we have taken a look at our portfolio. You know, do we have some exposure, you know, where companies could be impacted at a margin level, if you will. You know, costs going up, how you're gonna deal with them. The answer to that is yes. But what I would say is it's not significant. Nothing where we have alarm bells going off and we're highly concerned about it. Our expectation is if costs go up, you know, most of our portfolio companies have pricing power, and they will use that either in surcharges or actual price increases. But overall, you know, we don't expect any huge changes in terms of portfolio performance. And, you know, I think our portfolio is very well positioned to weather the storm.
Sean Paul Adams: Got it. Perfect. Thank you. And in regards to I guess, you know, adding additional portfolios sorry, additional companies to the portfolio, have you guys changed any methodology in the specific sectors that you're looking to add over the next couple of quarters?
Ed Ross: Not with regard to specific sectors. No. I mean, you know, what we we're typically focused on very, you know, high free cash flow businesses. Pretty stable demand characteristics, those would be exactly, you know, the types of businesses that we're interested in investing in as we move forward. It's well. So really no change for us. You know, I think we obviously leverage. We cared about those levels, you know, for our portfolios average leverage is about four and a quarter. Per core lower middle market. And you know, that's, you know, a very reasonable level. There's a fair bit of cushion with that level. Interest coverage is high for the portfolio. We intend on trying to maintain both of those characteristics and probably most importantly is our enterprise value cushion. So our loan to values I think this quarter, were 41%. So almost 60% equity in the capital structures that we're currently invested in. That same thought process is kind of what we intend to employ as we move forward. Hopefully, that's helpful.
Sean Paul Adams: Got it. Very helpful. Thank you. I appreciate it.
Ed Ross: Absolutely. Good talking to you.
Operator: Again, if you have a question, please press star then one. Seeing no additional questions, this concludes our question and answer session. I would like to turn the conference back over to Ed Ross for any additional closing remarks.
Ed Ross: Thank you, Michael, and thank you everyone for joining us this morning. We look forward to speaking with you on our first quarter call in early May. Have a great day and a great weekend.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.